Operator: Good day, ladies and gentlemen, and welcome to Honeywell’s Q3 2014 Earnings Conference Call. (Operator instructions.) As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Elena Doom, Vice President of Investor Relations. 
Elena Doom: Thank you, Leo. Good morning and welcome to Honeywell’s Q3 2014 Earnings Conference Call. Here with me today are Chairman and CEO Dave Cote and Senior Vice President and CFO Tom Szlosek. Today’s call and webcast, including any non-GAAP reconciliations are available on our website at www.honeywell.com/investor. Note that elements of today’s presentation do contain forward-looking statements that are based on our best view of the world and of our businesses we see them today. Those elements can change and we would ask that you interpret them in that light. We identify the principle risks and uncertainties that affect our performance in our Form 10(k) and other SEC filings. This morning we will review our financial results for Q3, share with you our outlook for Q4 and provide an initial framework for 2015. And finally we leave time for your questions. So with that I’ll turn the call over to Dave Cote.
Dave Cote: Good morning, all. As I’m sure you’ve seen by now Honeywell had another terrific quarter with better-than-expected operational performance, and sales, margins and earnings all exceeding our guidance. In the quarter our organic sales growth accelerated to 5%, a continuation of the positive trend we’ve seen throughout the year; and even more encouraging was the fact that we saw organic sales growth broadly across the portfolio in all our segments. It truly was a balanced contribution highlighting great positions in good industries. Our short-cycle order rates continue to trend positive as we saw strong quarters from Energy, Safety and Security, and Transportation Systems, as well as continued improvement in Advanced Materials. Our long cycle businesses are maintaining robust backlogs with strong orders and sales growth this quarter from UOP, Process Solutions and Aerospace, giving us confidence in our outlook beyond this year. Geographically where as you know we are well diversified, we are seeing strength in the US particularly in our residential and industrial markets. As you know we’ve been conservative over the years in our planning assumptions for Europe and I think that’s been a good call. China continues to be a strong market for us both on the short- and long-cycle sides of the portfolio, and we saw double-digit increases this quarter in both the Middle East and India – reinforcing that our focus in high-growth regions is paying off. EPS of $1.47 increased 19% year-over-year or 14% normalized for tax. So another quarter with double-digit EPS growth with earnings coming in above the high end of our guidance range. Our continued progress on the Honeywell operating system or HOS and other key process initiatives are delivering meaningful growth and productivity benefits. We’re seed planting all the time to drive top and bottom line growth. Complementing the balanced portfolio is our relentless focus on new products and technologies which help us to differentiate. Innovation remains the lifeblood of the organization and we continue to win big in the marketplace, and we’ve got some really good stuff to talk about today. We’re really excited about the Gulfstream new 600- and 500-series planes that were announced earlier this week, and we have several innovative Honeywell technologies onboard including our avionics and mechanical portfolios. A sampling includes synthetic vision, wireless connectivity, cockpit avionics, traffic and 3D airport maps, and our APUs and environmental controls. We also have another first – the Gulfstream flight deck called Symmetry will include for the first time ever integrated Honeywell touchscreens that will be used for cockpit systems controls, flight management, communication, check lists and monitoring weather and flight information. This new approach reduces pilot workload while improving communications in a more natural and intuitive way. These new products are part of our company-wide HUE initiative and reflect the most integrated and streamlined flight deck in business aviation. The same with aerospace – in September we announced that Bombardier Business Aircraft will be the launch business aircraft manufacturer for Honeywell Aerospace’s Jetwave Ka-Band Satellite Connectivity System. Our Jetwave hardware exclusively supports Inmarsat’s forthcoming Jet ConneX service which when it goes live in 2015 will provide bus. jet passengers with high-speed in-flight connectivity virtually anywhere in the world. To put it in perspective, this will allow passengers to video conference, send and receive large files, and access streaming content while on the move by enabling them to access Inmarsat’s service. This exclusive high-speed connectivity will also enable us to differentiate our cockpits and mechanical systems through innovative data sharing and services, making aircraft and pilots more efficient. In our Scanning and Mobility business we’re working with the United States Postal Service, one of the largest global mail carriers, to deploy more than 75,000 units of our next-generation mobile delivery device by year’s end. This custom-branded mobile device is based on our market-leading mobile computing technology, the Dolphin 99ex – clever name, right? Used by postal carriers and mail processing employees, the device improves critical activities related to making on-time deliveries including reliable tracking information, proof of delivery for Priority Mail and postal route navigation support. We’re also excited about the growth we’re seeing from Solstice, our new line of refrigerants, insulation materials, aerosols and solvents that have global warming potential lower than CO2. In September at a White House event we announced that we will increase production of Solstice products and as a result will drive a 50% reduction in our annual production of high-GWP hydrofluorocarbons or HFCs on a CO2 equivalent basis prior to 2020. We project that the use of our Solstice products will eliminate more than 350 million metric tons of CO2 equivalent by 2025. That’s equal to removing 70 million cars from the road for one year. And in mobile air conditioning we’ve had significant wins from global customers and expect our sales to continue to ramp, as Solstice helps customers meet CAP A standards in the US and the new Mac regulation in Europe which goes into full effect in 2017. So with the increased order book for Solstice applications and the new capacity coming online, Fluorines is positioned for terrific growth in 2015. If I take a look at where we stand for the year with just about two months left, we’re confident in our ability to deliver at the high end of the guidance we set for this year last December. As a reminder, we’ve stuck by our sales and earnings outlook all year, steadily increasing the low end of our pro forma EPS guidance to reflect the strong year-to-date performance. And we’re doing it again this quarter, raising the low end of our 2014 EPS guidance by $0.05 to $5.50 to $5.555. That’s up 11% to 12% year-over-year – not bad at all. So turning to 2015, and you’ll hear more from Tom on this, we’re going to continue to remain conservative on the global economy. We haven’t counted on much from the macro environment historically and so far that has been a good call. We’re confident in our continued outperformance because one, our portfolio is aligned to favorable trends like energy efficiency, clean energy generation, safety and security, urbanization, and customer productivity that continue to trend positive. And two, we have been conservative on costs. We’re in the process of completing our annual operating plans and overall we see prospects for another good year in 2015. As I mentioned already we have a very healthy backlog and see positive order and win rates across the portfolio. We’re also expecting another year of margin expansion. We’re going to continue executing on our key strategies for growth including penetration of high-growth regions and sustaining our investments in high ROI CAPEX and new products and technologies, while maintaining our cost discipline and ensuring we deliver the savings from restructuring projects that we’ve funded for the last few years. Our strength of execution has led Honeywell in the past to strong earnings growth and another year of outperformance in 2015, remaining on track to the long-term targets we gave you back in March. So with that I’ll turn it over to Tom.
Tom Szlosek: Okay, thanks Dave and good morning. On Slide 4 let me walk you through the financial results for Q3 – as you can see, some very strong numbers and every metric came in at or above the guidance we provided in July. Sales of $10.1 billion were up 5% on a reported and organic basis and the growth was pervasive throughout the portfolio. We’ll dive into some of the business specifics in a moment but we’re encouraged by the improvement in organic sales growth as we’ve progressed throughout the year. Remember, it was 1% in Q1, 3% in Q2 and now 5% in Q3. On a regional basis organic sales were up 5% in the US, 1% in Europe, 4% in China and double digits in a number of our other high-growth regions. In Europe we have experienced stable growth rates in the first three quarters of the year, modest growth rates which are very consistent with what we saw in 2012 and 2013. We are planning more of the same for Europe in Q4 and into 2015. As for China, the growth was impacted by our deliberate shift of resins and chemicals exports to other parts of Southeast Asia, so excluding that our China sales would have been up 7% in the quarter. On a similar basis, we expect China to grow sales faster than GDP for the full year. Segment profit growth and margin expansion were both strong in the quarter. Segment profit increased 9% while segment margins expanded 70 basis points to 17.4%, which by the way is 20 basis points more than our guidance. We had profit growth and margin expansion in each of our three SBGs, so again, a balanced contribution across the portfolio. The businesses benefited from higher volume in the quarter, and productivity continued to be a key driver of margin expansion. These elements more than offset inflation and our continued investments for growth in sales, marketing, and product development. Items below segment profit were mostly as anticipated and so our net income increased 14% normalized for tax – not bad paired with a 5% sales increase. Also we funded $21 million of restructuring projects in the quarter, bringing the year-to-date total to approximately $120 million. The Q3 tax rate came in at 24.6% versus 27.2% in 2013 and versus the 26.5% we planned. There are a number of moving parts that sometimes make the tax rates vary quarter by quarter, however we continue to expect a tax rate of 26.5% for the full year consistent with our initial planning. So reported earnings per share of $1.47 in the quarter, up 19% versus the prior year. Normalizing for tax, EPS would have been $1.43, up 14% which is $0.01 above the high end of the guidance we provided in July. Even with essentially flat share count we once again achieved double-digit EPS driven primarily by stronger sales and segment margins. Finally, free cash flow of $1 billion in the quarter was 12% higher than 2013 despite an approximate 28% increase in CAPEX investments. Overall another strong quarter, giving us confidence heading into the last three months of the year. Moving to Slide 5 we’re looking at Aerospace results which as you will recall include Transportation Systems in both years. Aerospace sales were flat in the quarter on a reported basis, reflecting the friction materials divestiture, but were up 3% organically which was at the high end of our guidance range. Organic sales growth accelerated in both commercial aero and defense and space while Transportation Systems saw continued strong top line organic growth. Aerospace margins expanded by 150 basis points driven by productivity net of inflation, where material productivity continues to be a significant driver; also commercial excellence and the favorable impact of the friction materials divestiture. Starting with commercial OE, sales increased 5% with good growth in both air transport and regional as well as business and general aviation. In ATR we saw the continued benefit of higher OE build rates while business aviation saw increased engine shipments coming with certifications on the Bombardier Challenger 350 and Embraer Legacy 500. Commercial aircraft sales were up 2% in the quarter with strong spares growth in ATR. ATR had double-digit spares growth with increased mechanical and electrical demand across the major regions. We’re expecting the ATR aftermarket growth to be in line with flight hours in Q4 and would characterize current airline buying activity as stable to modestly better. The ATR spares growth was offset by anticipated lower repair and overall activity and a decline in BGA RMUs; that is retrofit modifications and upgrades. You will recall that RMU sales growth has been on a tear for the last couple of years, making comparisons to prior periods challenging. We’re still excited by this business and continue to invest to develop new offerings. Defense and space sales returned to growth in the quarter, increasing 3% and continued the improvement we’ve seen throughout 2014. You might recall we were down 8% in Q1 and 1% in Q2 so the trend as we predicted is improving. International programs continued to drive growth with double-digit sales increases, while our US DOD sales grew modestly. And government services declines continued to moderate on a year-over-year basis. Transportations Systems sales declined 10% on a reported basis, again reflecting the friction materials divestiture, but were up 4% organically. Once again we saw strong turbo volume growth across our three largest regions – Europe, North America, and China. And in each of these regions our volume growth outpaced auto production. Two-thirds of the volume growth was attributable to light vehicle gas applications where we continued to see increased global penetration. We also saw our European commercial vehicle volume more than double in the quarter as we continued to benefit from new programs following the implementation of Euro-6 emission regulations in the region. On Slide 6 we are looking at ACS results for the quarter. Sales were up 9% on a reported basis and 4% on an organic basis – again at the high end of our guidance. The difference in the two rates principally reflects the contributions of Intermec. ESS sales, so the products businesses, were up 6% organically, continuing the trend of progressively stronger growth we have seen in each quarter in 2014. It’s hard to single out one business in the ESS portfolio because the growth was very broad, but scanning mobility and industrial safety celebrated the most. ESS benefited from new product introductions; higher US residential sales which benefited both ECC and Security; US non-residential improvement in ECC, fire and industrial safety; and further penetration in high-growth regions particularly in China where ESS once again had double-digit sales growth in the quarter. Building Solutions and Distribution or BSD sales were up 2% with continued strength in the Americas fire and security distribution businesses offset by flat sales in building solutions. We are encouraged however as building solutions has seen an increase in North American service and energy retrofit orders. Both the global solutions backlog and service banks are up handsomely from the same point last year, supporting our outlook for sales acceleration in 2015. In the non-residential sector the trends are similar to the first half of the year. In the ESS products businesses that serve non-residential, we’ve continued to see modest growth in commercial products throughout Q3. However, we did see an acceleration of growth on the industrial side with strength in the Americas business particularly. We anticipate further improvement in Q4 and into 2015 on the commercial and industrial products side. As for building solutions, I mentioned that the backlog and service banks are up year-over-year and we continue to expect energy efficiency projects to support global acceleration into next year. ACS margins expanded 40 basis points to 15.9% in the quarter and were up 50 basis points excluding the minor dilution from M&A. ACS continues to benefit from higher volume, commercial excellence and productivity net of inflation while also continuing to invest for future growth. One such investment area is connected homes where we are quite excited by the roadmap of future, integrated offerings in heating, air conditioning, security and lighting controls. Already we have more than a million internet-connected devices. Moving to Slide 7 for Performance Materials and Technology, PMT sales were $2.5 billion, up 7% organically and were above the high end of our guidance, driven by stronger-than-expected results in both UOP and Process Solutions. UOP sales increased 8% in the quarter driven by increased catalyst and gas processing sales reflecting a continued strong refining, petrochemical and gas market. We continue to see strong orders trends in gas processing particularly at Thomas Russell. At the end of Q3 UOP’s backlog stood at $2.6 billion driven by a strong customer adoption of new technologies and investments in new capacity. In Process Solutions we are encouraged by the accelerated growth of 5% driven by our Advanced Solutions Software and Services businesses as well as higher sales in field products. High-growth regions remain a huge priority for Process Solutions and they delivered double-digit sales growth from China, India and the Middle East. Borders growth also continued at a strong pace, continuing the Q2 trend, and the HPS backlog is up nicely over the same point in 2013. As we’ll preview later on we’re expecting the sales improvement in the second half of this year to continue in 2015 for HPS. Advanced Materials sales increased 7% in the quarter, also continuing the trend we’ve seen throughout 2014. We’ve seen volume increases across the businesses with particular strength in foreign products which was up double digits, driven by a new low-global-warming potential product. Segment margins at PMT were up 20 basis points to 17.5% consistent with our expectations, driven by higher volume and productivity net of inflation partially offset by price raw headwinds in chemicals and continued investments for growth. HPS converted particularly well, continuing its successful business transformation and benefiting from the growth I mentioned in higher-margin Advanced Solutions Software and Services. UOP continues to also deliver outstanding profitability. So now I’m on Slide 8 with a preview of Q4. We’re expecting sales of $10.3 billion to $10.4 billion, approximately flat reported or up 3% on an organic basis. And again, this assumes a Euro rate of $1.25 for the quarter. As a reminder, we’re facing a tougher set of comps in Q4 as organic sales were up 5% in Q4 2013 versus only 1% in Q3 2013. Segment margins for Q4 are expected to be up approximately 120 basis points with pro forma earnings in the range of $1.37 to $1.42 per share, up 10% to 15% versus the prior year. As a reminder, we’re still planning a full year 2014 tax rate of 26.5%, so that implies the Q4 tax rate to be approximately 28.8%. Our Aerospace sales on a reported basis are expected to be down approximately 3% reflecting the year-over-year absence of friction materials in the quarter. On an organic basis sales are expected to be up approximately 2%, and as a reminder, in Q4 2013 Aero recognized a significant IP litigation settlement resulting in a royalty gain of $63 million in Defense and Space that was offset by OEM payments in BGA. Both of these items were included and therefore netted out in sales and segment profit at the Aerospace level last year. In Q4 Commercial OE sales are expected to be up mid-teens on a reported basis, and that’s mid-single-digit excluding the year-over-year impact I mentioned from the higher BGA OEM payments. The growth is driven by the favorable trend in demand for high-value business jet platforms where we have significant new engine content. Commercial aftermarket sales are expected to be up low-single-digit in the quarter with an improvement in airline and business jet repair and overhaul activity as evidenced by the increase we’ve seen in shop receipts. However this strength will be partially offset by more modest spares growth driven by declines in BGA RMU activity that I mentioned earlier. Defense and space sales are expected to be up slightly, excluding the impact of the royalty gain in Q4 2013 I discussed earlier. In Transportation Systems we’re expecting sales to be approximately flat on an organic basis primarily due to challenging comparisons to prior year. You’ll recall that in Q4 2013 TS was up 15%. We’re expecting Transportation Systems to have good volume growth in Q1 2015 driven primarily by new launches entering the market. As for Aerospace margins we expect an increase of approximately 200 basis points in Q4 driven by significant productivity improvements across the portfolio and commercial excellence. Continued focus on driving productivity and direct material costs and the benefits from functional transformation are helping us to support the growth investments we’re making in the business as well as to drive the improvement in profitability. For ACs sales are expected to be up approximately 4% on an organic basis excluding an approximate 2% headwind from FX. We expect both ESS and BSD to grow in the low- to mid-single digit range on an organic basis, supported by the trends we’re seeing in our short-cycle order rates. This is also supported by continued growth in our projects backlog and the service bank in Billing Solutions that we mentioned earlier. ACS margins are expected to be up approximately 60 basis points with continued benefits from productivity net of inflation and commercial excellence, while accelerating investments for growth in new product areas such as connected homes and in high-growth regions. In PMT sales are expected to be up approximately 2% on an organic basis. The strong and improving growth rates we have seen throughout the year across the PMT portfolio including in Q4 are being temporarily offset by the previously signaled decline in UOP sales for Q4 in the range of 8% to 9%. And to remind you we had an exceptionally strong Q4 2013 for UOP where sales were up 17% organically – needless to say a difficult comparison. On the other hand, a higher mix of licensing revenue in Q4 will result in a tailwind to UOP and PMT margins. In HPS the favorable orders and backlog growth will support Q4 sales acceleration which will also carry into 2015. HPS margin expansion will also continue. In Advanced Materials we anticipate another quarter of broad sales growth, however Resins and Chemicals will continue to face lower margin rates exacerbated by planned plant outages and price raw pressures. Overall PMT margins in the quarter are expected to be up approximately 60 basis points versus 2013 driven by UOP and HPS. Let me move to Slide 9 where I’d like to refresh everyone on our full-year outlook for 2014. As you know we take a conservative view on sales expectations. This approach continues to serve us well because it forces us to also be prudent on our cost structure, so if sales grow better than our conservative expectations we tend to do very well. I think 2014 demonstrates this. Our sales are coming in a little better than where we planned whereas we’ve raised our EPS guidance three times during the year. As Dave indicated we are taking EPS guidance up a third time, this time to a range of $5.50 to $5.55, up 11% to 12% over 2013 – so another year of double-digit earnings growth. This is our planning model and we’ll continue to follow it. As you see on the page we’ve tightened our sales range to $40.3 billion to $40.4 billion, up approximately 3% to 4% versus the prior year. And as for segment margins we’re expecting the full year to be approximately 17% or up 70 basis points over 2013. Again, this puts us at or above the high end of the sales and margin guidance we shared with you last December. The full year outlook by individual segment is similar to what we shared in July. Considering the performance year-to-date we continue to feel confident in the segment margins for each business – 19.5% for Aero, 15.0% for ACS and 18.0% for PMT: strong performance across the portfolio with every business contributing to the 70 basis points of segment margin expansion. While there’s still work to do to ensure we deliver 2014 we have commenced our 2015 planning. On Slides 10 and 11 I’ll walk you through some of our key planning assumptions and initial thoughts by business. While it’s still early, Slide 10 lays out some of our current views. From a macro perspective we’re not expecting much in terms of macro GDP growth, slightly north of 3%. As I said earlier we continue to be conservative in our planning and 2015 is consistent with that thinking. Our short-cycle businesses represent about 55% of our sales and we’re expecting continued growth from new products and technologies in the short cycle. Examples include products derived from our Solstice, Molecules and PMT and our new platform launches in Transportation Systems. Our growth in 2015 will also be supported by continued favorable end market trends, the modest improvement in non-residential spending benefiting both the commercial and industrial businesses, and continued flight hour growth. On the long-cycle side of our business, which represents the remaining 45% of our sales, we have good visibility into growth in 2015 based on one, the strong order rates; two, our robust backlogs; and three, the capacity from our new plant. We will benefit from the increased oil & gas investments globally, particularly in the downstream markets where the build out continues with both UOP and Process Solutions well positioned for growth. Aero will also contribute to organic sales growth based on our expectations of a ramp up in new BGA OE platforms and the strong trend of international defense wins. In total, our long-cycle orders and service banks are up single digits for the year which will also drive higher sales in 2015. So from a total of Honeywell perspective the strength in the US dollar will likely be a minor headwind in 2015. Our large exposure to the Euro is in Transportation Systems where we have locked in for 2015 already. So that will give us a very low sensitivity: if the Euro were to go to say $1.10 we would expect an approximately $0.10 EPS impact for the full year, manageable exposure. And right now we’re at $1.28 but we will keep our eye on it. Overall the below the line items for 2015 remain stable. Even with the recent investment market slide and the continued low interest rate environment we are currently expecting tension income to be roughly neutral next year and continue to not expect a significant required contribution to any of our plans for the foreseeable future. Finally we anticipate the continued benefits from our proactive restructuring activities to yield $125 million of incremental savings in 2015. I’m now on Slide 11 which depicts our preliminary growth outlook by business compared to the expected growth in 2014. The colored arrows denote whether we currently see the growth rates improving, remaining steady – so growth similar to 2014 – or receding. Again, this assessment is based on our preliminary assessment of the key macro inputs and variables, our current orders and backlog, and the things we’re in control of from an execution perspective. As you can see there are a lot of green arrows again driven by our great positions in good industries, new product introductions, high-growth region expansion and confidence in our long-cycle backlog. In Aerospace on the commercial side, ATR OE growth is expected to be similar to 2014 but with an improvement in the second half of 2015 and into 2016. This is based on the build rate schedules and ramp up in Airbus A-350 and other new platforms. In BGA OE we expect the continuation of growth to outpace the market with strong shipments of new engines on new business jet platforms like the Bombardier Challenger 350 and Embraer Legacy 500. We are well positioned in the medium- to large-BGA segments which are expected to grow the most in the next five years. Dave also referenced earlier our excitement around the launch of the new Gulfstream 500 and 600 platforms, with the first flight of the G500 scheduled in 2015 and shipments starting soon thereafter. We have been working with Gulfstream for some time in developing these products so we don’t expect to incur significant R&D-related expenses relative to these platforms that you normally might expect at the rollout of a new commercial platform. These and other new platforms support the continued growth in our ATR and BGA installed base and service businesses. Of course the growth has to be profitable so we also continue to focus on the cost side with planned cost productivity in direct materials and functional spending along with process improvements, which will further support further margin expansion in Aerospace. The commercial aftermarket sales vary based on the quantity of flight hours and maintenance events, inventory levels, and the customer’s buying and inventory patterns. We would anticipate that sales will grow slightly better than they have in 2014 with an expected improvement in airline repair and overhaul activity and higher engine maintenance events in BGA. Defense and Space is expecting a modest sales increase, call it low-single digits, in 2015 based on the strength of the international business which represents about 25% of the portfolio. Our recent win rates support this outlook and we also expect the full sequester to remain in place with the US portion of the business stabilizing. Finally, Transportation Systems is poised for continued growth in 2015 driven by significant new launches, modestly better European light vehicle production, and the acceleration of gasoline turbo penetration, particularly in the US and China. For ACS we’re expecting similar growth and ESS to what we’ve seen through 2014. This growth will be led by new product introductions, further penetration in high-growth regions and continued non-res recovery. As a reminder, roughly 75% of the ACS portfolio serves commercial and industrial markets where we tend to be tied more so to retrofit activity than to new construction. So our portfolio is well positioned to capitalize on improvements in these areas. In the Commercial Products side we’ve seen modest sales improvement over the course of 2014 which we expect to continue into 2015 with better growth in the US driven by improvement in the ECC and Fire Systems businesses. In the industrial markets we’re expecting higher sales of industrial fire safety equipment, particularly in the Americas which represent about half of our exposure. Residential growth will continue particularly in the US where we’re accelerating our investments in the connected home space. And in Building Solutions which is a longer-cycle business, sales growth has been muted year-to-date but we’re encouraged by the improvement in product orders and services backlog, which will benefit in 2015. In PMT our robust orders growth and backlog position at both UOP and Process Solutions support growth acceleration. PMT continues to benefit from oil & gas investments occurring around the world. You’re probably aware we’re primarily focused on the midstream and downstream segments. These are less impacted in the near term than the upstream segments might be by any reduction in capital spending that could come from recent crude oil price declines. In fact, most of our UOP and HPS backlogs will be executed over the next two or three years and are for projects where the bulk of our customer’s capital has already been spent. The risk of cancellations is low and is already reflected in our initial planning framework. Lower oil prices also mean lower fuel prices at the pump which drive more demand for refined products and production. This also plays to the strength of our portfolio. Also we’re excited by the recent loosening of US restrictions on energy export and are well positioned to win new business in related verticals, like liquid natural gas. And last, in Advanced Materials we expect to continue to benefit from our Solstice products and higher production volumes in resins and chemicals. Given the balance of these various dynamics we are encouraged about our prospects for 2015. We are in the middle of our annual planning process and we look forward to providing you with more details regarding our 2015 guidance during our outlook call on December 16th. You can expect it will count on only modest sales growth and will stay conservative on costs so that we deliver earnings growth on a basis consistent with our five-year plan. Let me wrap up on Slide 12. The strong Q3 results came from every part of Honeywell. We have a solid and diverse portfolio and management team focused on execution. Combined, these enabled us to add to our performance track record as we exceeded our guidance on sales, margins and EPS. With one quarter left to go we are confident in our ability to continue outperforming despite the continued slow growth macro environment. We’re going to continue investing in our future with a focus on profitable sales growth. This means investing in high ROI CAPEX, in new product development, and in sales and marketing resources particularly in high-growth regions. The investments are paying off – you can see it in the results. As we turn our attention to 2015 we recognize the uncertainty in the macro environment but this is not new for us. We have and will continue to plan conservatively. Also we’re confident that our portfolio is well positioned for continued outperformance. Our order trends, both short- and long-cycle point to accelerated sales growth for next year that should enable continued strong improvements in our profitability. And we will continue to execute to deliver 2014, ’15, and beyond. So with that, Elena, let’s go to Q&A.
Elena Doom: Thanks, Tom. Leo, we will now take our first question. 
Operator: Very good. The floor is now open for questions. (Operator instructions.) Our first question is coming from Scott Davis of Barclays.
Scott Davis – Barclays : Hi, good morning guys. Thanks for helping the market go up today. We needed it.
Dave Cote: [laughs] Yeah, I agree.
Scott Davis – Barclays : I’ve got to give you crap about something, Dave – you know I can’t go a conference call without criticizing you. But 16 slides and not a word on M&A or buybacks or any cash reinvestment. You’ve had a nice pull back here – what’s holding you back from buying back some shares?
Dave Cote: Well, first of all I don’t think that we ever provide a chart commenting on that so it’s not unusual.
Scott Davis – Barclays : No, I know. [laughter]
Dave Cote: I guess 19%, 14% depending upon how you want to look at it doesn’t suffice so I understand. But at the end of the day our strategy’s still the same – it’s to stay opportunistic on both the M&A side and the share repurchase side, and I think M&A conditions are starting to improve with the kind of pull back we’ve seen. So who knows how things develop, I’m not promising anything. You never know where things are going to go but at the end of the day times are getting better to buy so we’ll see what happens.
Scott Davis – Barclays : Dave, what is the ideal size of transactions? I mean in the past you’ve done some pretty interesting deals and some of them a little bit big. Would you be willing to go a little larger in size where there’s some value now?
Dave Cote: Well you know, I’ve always said I never say never on doing anything large, so we’ll say I don’t know, $5 billion to $10 billion. But at this date we’ve never done it either – it doesn’t mean we won’t but I’ve never done it. We still continue to maintain a very active pipeline of projects from small stuff to big stuff and we’re going to keep doing that, and who knows? Maybe someday something bigger strikes. In the meantime we still keep looking at stuff that’s more bite-size, more manageable. And it’s tough to predict where these things go. As [Ann Madden] keeps reminding us you kiss 100 frogs to find, I guess in my case the princess. So it’s just one of those things that we’re going to keep looking at and keep working.
Scott Davis – Barclays : And just lastly non-res has been a bit of a mystery this year but it looks like you made some positive commentary there. I mean do you see projects as finally breaking ground where you’ve got some visibility that we can make some shipments? And this quarter was pretty good, actually.
Dave Cote: Yeah, I would say you’ve been hearing me say now for over a year I think that we’ve been seeing increased quote activity but no results from it. We’re finally starting to see some slight improvements in growth rates from what we’ve seen in some of our other businesses. I’d like to think that that portends a trend. I’m not ready to declare that yet but I do believe the time has come. And for me part of this is just the aftermath of the recession. We said at the time how you went in was likely how you were going to come out, and it was stuff that went in quickly, like aircraft spares came out quickly. Stuff that went in slowly like non-res construction has been slow to come out, and I think we’re finally at that point where we’re in the kind of slow-to-come-out range. I don’t expect a boom but I still think it’s going to be a tailwind for us.
Scott Davis – Barclays : Good. Well, well done, guys. Thanks and I’ll pass it on.
Dave Cote: I’m sorry, Scott, what was that? [laughter]
Operator: Our next question comes from Steve Tusa of JPMorgan.
Steve Tusa – JPMorgan : Hi, good morning. So just on UOP I think people are obviously a little bit worried about what’s happened with oil prices here. Can you maybe just get into specifics on what percentage of UOP specifically is kind of oil price exposed if you will? I mean I know maybe there’s some offshore projects that they may be involved in, FPSOs, I’m not sure – just want to get some further clarity on that. And I totally understand the positive long-term trends but UOP is obviously one that people worry about every day. So just maybe if you can give us a little bit of color there.
Dave Cote: Steve, the last thing I’d ever expect from you is a bouquet but not even a flower or a rose petal or something? [laughter] Not even a little bit?
Steve Tusa – JPMorgan : Solid quarter I guess. [laughter]
Dave Cote: Well thank you, I’ll take what I can get.
Steve Tusa – JPMorgan : You’re doing okay. I never worry about you, you’re doing fine.
Dave Cote: [laughs] Here’s a reasonable way to think about it, is if we take a look at our overall sales about 15% of it is represented by oil & gas in total. So it’s not just UOP but it includes Process. If you broke out that 15 points, 12 points of it are in the mid- to downstream segments so yeah, there is some upstream but not a huge amount. And when we think about oil prices, Tom was talking about some of this – that pump prices tend to be sticky in both directions and when oil prices are going down that’s a good thing for refiners. So all of those projects, especially if the money’s already been spent, we really don’t see it having that much of an impact over the next two or three years. Most of those projects are still going to get done. We also think over the long term there’s some natural floors here that exist and there’s been a big increase in oil production over the past year. It’s up something like 3% in total with a big chunk of it driven by the US. But there’s a natural floor that occurs at about $80 when you look at shale oil production where a lot of capacity just goes offline so it gets supply and demand much more balanced. So overall I really don’t see it having that much of an impact to UOP. It might have some; there might be some projects that go a little bit sideways. But overall very manageable is the way I’d think about it. Tom, I don’t know if there’s anything you want to add?
Tom Szlosek: Just there’s discussion of cancellations and we’ve thoroughly assessed our backlog and we’re really not seeing anything. As Dave said there’s a natural floor, and maybe if you get significantly below that you might see more activity. But the only impacts are minor delays in project financing but it really hasn’t shown any impact on the backlog.
Steve Tusa – JPMorgan : And then Dave, one last question following up on Scott’s question about buybacks: when you think about kind of the reticence to buy stock back at this stage given the prior experience and just worried about buying closer to peak, I mean how do we think about that in terms of your relative valuation and the relative attractiveness of your stock? Because I mean it doesn’t seem like the stock is holding up as well as it should in these pull backs, and so does the mindset change if they’re not giving you – even though we’re kind of in a tough economic time if people aren’t giving you the relative credit, does the mindset change?
Dave Cote: No, not really. I would say, going back to what I said before we’re going to stay opportunistic. We have a lot of faith in our ability to continue growing and I think we certainly demonstrated that again this quarter. And when it comes to both repurchases and M&A we’re going to stay opportunistic, and having money gives you opportunities. Once the money’s gone the opportunities aren’t there anymore. So we’re going to continue to drive really strong earnings growth especially versus our peers with or without a buyback. And it’s always an opportunity for us.
Steve Tusa – JPMorgan : Great, thanks.
Dave Cote: You’re welcome.
Operator: Our next question comes from Nigel Coe of Morgan Stanley.
Nigel Coe – Morgan Stanley : Thanks, good morning. It sounds like buybacks are a hot topic this morning. [laughter] So I won’t go there but I do want to switch to the ’15 framework if you’d like, and thanks for the detail – it’s really helpful. And I guess the top line will be what it’ll be to what extent by the macro, but as we think about your margin expansion and doing what you can control – and obviously this year is very strong with a 30-weekish top line year-to-date. But next year, based on the construction pipeline, do you think you can be in line with the 70 bps long-term framework or do you think you can do better than that? Or how should we think about the OM next year?
Dave Cote: Well first of all, Nigel, same thing – not even a rose petal?
Nigel Coe – Morgan Stanley : No, no, Dave – great quarter.
Dave Cote: [laughter] Not even a splash of toilet water, something?
Nigel Coe – Morgan Stanley : I’m splashing away here.
Dave Cote: [laughter] Well first off it’s too early for us to declare. We’re in the middle of a planning cycle and we just don’t do that. So in December is when we talk about it, but overall I think you can expect something that’s consistent with our five-year plan because as you recall, in the five-year plan we were pretty conservative on what we expected over five years from the global economy. I guess fortunately and unfortunately – the fortunate side is we planned for it that way so we’re prepared. The unfortunate part is it’s turning out that way. We kind of hoped that there might be a nice surprise at some point. But we’ll talk a lot more about it in December on Tom’s call. What date is that call?
Tom Szlosek: December 16th.
Dave Cote: December 16th and we’ll talk about it more then. But you can expect something that’s consistent with our five-year plan where you’ll look at it and go “Oh, they’re still on track.” 
Nigel Coe – Morgan Stanley : Okay, that’s fair, thanks Dave. And then one of the real hallmarks of Honeywell over the past decade has been growing top line while keeping fixed costs flat or in some cases down. This year SG&A’s been growing quite a bit ahead of sales and I’m wondering, there’s obviously a lot of moving parts in SG&A and COGS but how much of that increase in SG&A is driven – and I’m thinking here about initiatives like HUE?
Dave Cote: Well quite honestly I don’t really look at the SG&A line all that much so I should describe it more as how I do look at it. On the sales side we have been adding feet on the street when you look at high-growth regions and that’s one of the reasons that you’re seeing such good performance there, because if you have great products and services and one guy covering a country you’re just not going to sell as much. You’ve got to have somebody who can be out there and represent. I do know on the G&A side, that’s going down because a lot of that is part of our functional transformation – so you think about Legal, Finance, IT, HR. All that stuff is going down consistent with functional transformation. So all the stuff that we’ve talked about is continuing to happen and I suppose we can get a better SG&A answer for you.
Elena Doom: I’m happy to help out with that.
Nigel Coe – Morgan Stanley : Okay, thanks. And just a quick one for Tom perhaps: the hedge on TS for next year, I believe that’s new. I don’t think you’ve hedged in the past so number one, is that new? And second, is there anything we need to think about in terms of hedge accounting and sensitivity to certain rates?
Dave Cote: You are correct – it is new. And I’ll turn it over to Tom to discuss further.
Tom Szlosek: Yeah, I mean it’s at or around current rates now, Nigel. That’s essentially the way to think of it. So if you think about the current exchange rates for TS it essentially locks us in to what you see. 
Dave Cote: But there’s no mark to market impact.
Tom Szlosek: No, it’s pure hedge accounting. If the mark on the hedge goes to [below translation] or goes below the line outside of operating profits it serves to offset that.
Dave Cote: Because at the end of the day the change in the thought process has been, historically I’ve been pretty adamant about never hedging on translation just because I think over the course of twenty years you’re basically out the cost of hedging. This year I’d say well, there’s always the possibility it could go the other way because these things are unpredictable. The prospects of it going to $1.10, $1.20 I think is very real and we looked at it and said it’s better to say, protect ourselves on half or so of our exposure and forego a bit of that upside just to protect ourselves on the downside in what could be a tougher macro again. And that was the thought process behind it and we were able to do it with a very good understanding of what the impact was month by month. So we were able to avoid having to use that marked to market approach.
Nigel Coe – Morgan Stanley : Great, thanks guys.
Dave Cote: You’re welcome. 
Operator: Our next question comes from Steve Winoker of Bernstein Research. 
Steve Winoker – Bernstein Research : Hey, thanks, good morning. And Dave, I’m going to save you the pain of soliciting another compliment and just say good quarter to all the guys inside the SBGs, okay? We’ll leave it there.
Dave Cote: Thank you, Steve. As you’ve probably noticed I’m a very needy person.
Steve Winoker – Bernstein Research : I do and as long as that makes you keep delivering I have no problem with that. 
Dave Cote: [laughs] It helps, it helps.
Steve Winoker – Bernstein Research : So a few questions here. I guess one, I hate to keep coming back to the capital deployment but I also remember you often talking about telling investors “Now that we’ve gone through the turnaround some years ago what are we going to do with the cash? Don’t worry, we’re not going to blow the cash.” To the extent that you are ramping up M&A and Roger’s out there looking pretty aggressively I’m sure as well, what are kind of the minimum financial hurdles we should still think about for kind of mid- to large-size deals that you’re thinking about in terms of return on capital or otherwise – the stuff that Ann would actually let pass through, for example?
Dave Cote: Our hurdles are not going to change and they’re the same ones that we’ve used for 13 years, and that’s accretive in the second year, IRR clearly above the cost of capital – so think of it in the 11%, 12% range; and ROI above 10% in the fifth year and that’s all-in, so that includes all the amortization and everything else so it’s a more difficult hurdle than people might think. And at the end of the day regardless of the size we’ll be able to demonstrate 6% to 8% of sales as cost synergies because I don’t want to count on any sales synergies as you know, and I want to make sure that we stay disciplined as hell in terms of our deployment so we’re never going to panic. And the nice thing about it is we have a terrific organic growth prospect. So it’s not like I have to do M&A in order [deliver] and that’s why we construct our five-year plan the way we do, so that you would look at it and go “Geez, these numbers are awfully good whether they do M&A or not.” But I never want to feel panicked and we don’t. So you can expect that whatever we do, whatever we do end up doing – whether it’s a bunch of small stuff, something big, various big things depending on how you want to classify it – it’s all going to meet that criteria.
Steve Winoker – Bernstein Research : Okay. And Tom, a little bit about how you’re starting to think about pension. I’m sure you’ll go into more detail in December but given rates, direction and all of that, how should we think about sensitivities in the current accounting structure?
Tom Szlosek: Yeah, good question, Steve. If you drew the line today for pension expense considering even the most recent market developments and the low interest rate environment, we’d be about flat year-over-year for pension expense. As I said right now no foreseeable contributions from a cash perspective in the next couple periods. Marked to market-wise for 2014 as you know, if there is one we would do it in Q4. Right now again based on the assumptions as we understand them today, at least for our major plans – the US plans – they would not be a marked to market.
Steve Winoker – Bernstein Research : Okay. And if I can just sneak one more in, which is in UOP those CAPEX investments, how do you see those continuing to play out through the next year?
Tom Szlosek: Well in terms of the quantity of the CAPEX, we peak in 2015 in terms of the expenditure level. But as you know starting in the second half of this year we’ve got some of that capacity coming online this year mostly for the Solstice product portfolio and a little bit in the UOP catalyst. But those plants as we’ve said over and over again have pretty much hit the ground running at full capacity and so when you look at the growth rates you’re seeing in PMT, that 7%, that’s a reflection of being able to put that capacity to work right away.
Steve Winoker – Bernstein Research : Okay great, thanks.
Dave Cote: And the projects are on track which is always a great place to be when you’ve got full plants.
Steve Winoker – Bernstein Research : Okay, thanks a lot.
Dave Cote: See you, Steve.
Operator: Our next question comes from Jeff Sprague of Vertical Research.
Jeff Sprague – Vertical Research : Good morning. I’ve been brushing up on my accent – Dave, I think it was a pretty good “quah-tah.”
Dave Cote: [laughs] I think it was wicked good myself.
Jeff Sprague – Vertical Research : [laughs] Just a couple little clean-up things: on UOP can you give us a sense, just following up on that last comment from Tom, what type of top line benefit do you foresee next year as those plants come on? I guess the question is kind of the key noted revenue weight of that capacity as it turns on.
Dave Cote: I would say it’s still a little too early to declare on any of that – we’ll do more of that in December. I’d say you can expect that UOP’s going to continue to do well.
Elena Doom: And I’d add it’s a big driver for this incremental growth in UOP versus the growth rate we’re seeing in 2014.
Jeff Sprague – Vertical Research : And then on international defense where you’re seeing some acceleration it sounds like, can you give a little color on countries or programs where that’s actually happening?
Tom Szlosek: Yeah, Middle East, Israel, Turkey, some of the regions that you might expect to have the funding and where there’s activity; a little bit in India as well.
Jeff Sprague – Vertical Research : And this one might be a little bit in the weeds but kind of getting into fluorines and the like, with your transition coming in the US here really at the beginning of the year do you see any noise in Q4 around that? Do you see signs that people are prebuilding, just anything to be aware of there?
Tom Szlosek: No. I mean we’re really excited about fluorines overall and the transition that we’ve got going, but nothing significant from that perspective.
Jeff Sprague – Vertical Research : Yeah, and then just a quick one and I’ll jump off: Tom, you did end your remarks by saying accelerated organic growth in 2015. Obviously you’ve also hedged the macro and everything but are you suggesting you do have line of sight at least of being inside that 4% to 6% kind of organic growth going forward, which is kind of the compound goal up to 2018?
Tom Szlosek: Yeah, I think Dave is telling me not to share anything until December 16th, which I’m going to follow my boss’ orders. [laughter]
Jeff Sprague – Vertical Research : Alright, sounds good. Thanks, guys. 
Dave Cote: See you, Jeff.
Operator: Our next question comes from Andrew Obin of Bank of America.
Andrew Obin – Bank of America : Yes, hi, how are you guys? Just to clarify on Advanced Materials, so why is it not growing faster in ’15 versus ’14 given this is where the CAPEX is going and Solstice is ramping up? Sorry, and congratulations by the way.
Dave Cote: Ah, thank you – I thought I was going to have to beg again. 
Andrew Obin – Bank of America : No. [laughter]
Elena Doom: So we are seeing good growth in Advanced Materials, Andrew. I mean in the quarter Advanced Materials grew 7% organically so I think what we’re saying is at this point the continuation of that type of mid-single-digit growth rate is what we’re expecting for next year given it’s still early days.
Tom Szlosek: Yeah, just a reminder on how to read that chart: the side arrows mean the growth rates themselves for ’15 compared to the growth rates for 2014. So as Elena points out we’ve seen really decent growth especially in the second half in the Advanced Materials portfolio including fluorine or led by fluorine. So we’re expecting that trend to continue in 2015. So I think it’s a good story.
Dave Cote: Besides if we had a whole page of green arrows you’d be asking how could we possibly believe the environment to be that good.
Andrew Obin – Bank of America : I appreciate that. And just a comment on BSD, you sort of commented that you’re seeing non-res accelerating. Could you just give more color on what specifically you’re saying, what areas because it would be really good news if we are seeing non-res cycle pickup.
Tom Szlosek: Yeah, I think it’s been moderate. I don’t want to overplay the pickup on the commercial piece of the non-res but we are seeing a significant amount of quotation activity in the US and particularly on the federal side of the energy vertical. The municipalities and other institutions are also coming along but overall the orders are starting to pick up. We’re expecting good orders, [a story of performance] in Q4 that should serve us well in 2015.
Andrew Obin – Bank of America : Terrific, thank you.
Dave Cote: Thanks, Andrew.
Operator: Our next question comes from Howard Rubel of Jefferies. 
Howard Rubel – Jefferies & Co. : Good morning. Thank you very much.
Dave Cote: Hey Howard, thank you.
Howard Rubel – Jefferies & Co. : Well no, thank you, Dave. I mean numbers like this, you know, only come from Honeywell.
Dave Cote: Now that’s what I’m talking about, Howard, thank you!
Howard Rubel – Jefferies & Co. : Boy this is really amazing, the suck-ups we’re doing here but anyhow…
Dave Cote: Only if it’s deserved. [laughter]
Howard Rubel – Jefferies & Co. : Exactly, you know that. But to talk about a couple of business fundamentals, talk about what you’ve done to make Intermec work right. It looks like it had a very nice top line contribution. The US Postal Service piece of business looks like it’s market share pickup and when I walk into Starbucks I see a Honeywell logo. So what’s gone there that’s set you apart because this is a difficult market?
Dave Cote: I was going to say we appreciate you picking up on that one because we’re quite proud of everything we’ve done there, not just by Intermec but by really pulling together several players in the industry and creating a “One Honeywell” approach that’s really made a difference. And they all brought different technologies and perspectives whether it was Hand-Held, Metrologic or Intermec. And I think our guys, starting with Darius the leader originally and then John [Waldren] who’s in there now have done a great job pulling all that together and rationalizing it so that we expanded our offerings, pushed the technology more so than others have, including what we’ve been able to do with Voice or Vocollect coming out of the Intermec acquisition; and getting better coverage – just being out there and being able to tell our story with feet on the street in a way that we weren’t able to before. So it’s really just a matter of running it better and taking advantage of the technologies that we brought together and running it better.
Howard Rubel – Jefferies & Co. : So when we look at the Intermec numbers year-on-year they’re up, it’s hard to totally tell but it looks like high single digits. I know that’s only one part of everything you’re doing there.
Tom Szlosek: That’s right, Howard. And I know we’re getting the, as Dave said the technologies are very strong and they’re complementary to what exists in the Scanning Mobility business. We didn’t have printing; we didn’t have voice. We did have mobile computers but Intermec had a very strong platform and so we’ve been able to integrate all three of those product lines nicely and to accelerate the growth there. And as you alluded to the performance against what our expectations were has been tremendous and when we look at the headline multiple versus where we are today it’s quite remarkable.
Dave Cote: It’s also good, Howard, you know how we never count on sales synergies which always provides a nice upside. And we’ve gotten a pile of them here.
Howard Rubel – Jefferies & Co. : Thank you. And then one just final question, sort of I’m not sure if I’m going to ask it right, but as you look at new products that you’re introducing with the R&D spend – because in each of the business units you’ve talked about there being, I’ll call it growth investments. How are you sort of measuring the premium you’re getting on the new products relative to the spend you’re making? How fast do you decide that gee, this is working really well, let’s put more in; or no, it’s not working very well and let’s scale it back?
Dave Cote: That’s something that we defer to each of the businesses to make those kinds of decisions, and each of them has their kind of kiss-or-kill approach to all of these projects. And some of it’s by country, some of it’s by business so they’re constantly looking at making sure that we get the biggest bang for the R&D buck. And I would say it’s one of the things that I look at and say across the company we still have opportunity for. Sometimes we’ll have a project that we’ll look at and say “Geez, this is going to cause sales to grow 8%, that’s great, let’s do it,” but we really don’t push ourselves because it might be a business that could be growing 20% - we’re just not thinking big enough for it. On the other side there’s still projects that we linger with too long or we focus on little stuff when we should be conglomerating some of that and focusing on something bigger. So I’d say we do a good job overall, certainly a hell of a lot better than we used to, but I still see more upside to being more disciplined on that in every business.
Howard Rubel – Jefferies & Co. : Thank you for your help today.
Dave Cote: We hope. We’ll see what 4:00 shows. 
Howard Rubel – Jefferies & Co. : [laughs] Thank you, Dave.
Operator: Our final question comes from John Inch of Deutsche Bank.
John Inch – Deutsche Bank: Thank you. Last but not least, hi guys. So congrats, Dave.
Dave Cote: Oh, thank you.
John Inch – Deutsche Bank: You’re welcome. So Tom, you gave us the ’15 I think restructuring tailwinds of $125 million. Just to try and make sure we have the framework could you tell us what, remind us what your spending expectations are for ’14 and then savings that would have been from ’13 and ’14; and then what you expect to spend in ’15 that dovetails with the $125 million?
Tom Szlosek: Yeah, I believe the actual savings from ’13 to ’14 is similar – it’s in that $125 million, $150 million range for 2015. In terms of the cash spend I think for 2014 it’d be about $200 million.
Elena Doom: We had an elevated Q1 restructuring charge obviously with the sale of the B/E Aero shares. But it’s probably, maybe for just the repositioning portion only it’s maybe more in the $140 million, $150 million range in terms of spend. Tom, do you want to comment on next year?
Tom Szlosek: Yeah, I think for next year I would expect, I mean our unspent backlog as of the end of Q3 is about $350 million, a little less than that. And I would expect that we would spend $150 million to $200 million of that (inaudible).
John Inch – Deutsche Bank: Yeah, I mean that’s where I was going with the B/E Aerospace share gains. I mean is this, all else equal are we going to see some sort of a spending tailwind if you will, or absence of spending that could be actually material or impactful? Or perhaps you’re thinking about some other offset because you guys are pretty good at you know, doing some matching opportunistically.
Tom Szlosek: Yeah, so John, I thought you were asking about cash before. 
John Inch – Deutsche Bank: Well, I was kind of asking about both, yeah.
Tom Szlosek: Okay. So right now as I said our expense, our P&L expense of restructuring is about $120 million and we spent the cash that we had indicated. We’re always looking at opportunities. Every quarter we review with Dave; every business reviews a portfolio of restructuring opportunities just like we do for M&A opportunities. And we look at them in a disciplined way. We look at the paybacks, we look at the ROIs and so forth, and yes, it’s true – we tend to look for opportunities to fund those restructuring, and yes, it’s also true that we have some potential funding capacity as we look out. But I don’t think we’ve come to any conclusions at this point on what we’re going to do in 2015. We’ll take it opportunistically as we go through the year like we normally do.
John Inch – Deutsche Bank: That’s fair. And then can I just follow up: you guys are a very large aerospace company and your commentary around aerospace and aftermarket is still pretty constructive kind of heading into next year. You do have this sort of Ebola thing that’s kind of in the background and I’m trying to understand, would the analogy be perhaps to what happened during SARS and the possible impact on flight hours? I’m just trying to understand at this juncture how are you thinking about the planning process for the business next year as it pertains to flight hours perhaps based on past experience? Or is it should we just not really be concerned about this?
Dave Cote: As usual you can expect us to plan for some of the worst just so that we know what our downside is. I don’t think that’s what’s going to happen here, though, just based upon what you read about Ebola. In terms of its actual impact on the US in terms of how many people actually get ill, at least from the best I’ve been able to glean, we don’t expect much of an impact there. The thing you can’t predict is what that fear quotient is going to do, and as people just start to become afraid and as media has something new to talk about it’s tough to predict where that will go. So I’d say overall I don’t expect the actual impact in terms of illness to be consistent with what we saw with SARS. You still need to start to factor in what that fear quotient could do and that we’re not really going to know except over the next two to three months I would say. And we’re going to plan, make sure that we have a plan to address it in the most conservative way possible just so that we’re prepared.
John Inch – Deutsche Bank: Okay, thanks very much, I appreciate it.
Dave Cote: You’re welcome.
Elena Doom: So I want to hand the call back over to Dave Cote for some closing remarks.
Dave Cote: Over the last few years we’d have to say the global macro economy really hasn’t provided much help, and we expect it’s going to continue that way as we outlined in our five-year plan back in March. As Tom and I both mentioned conservative sales planning has been the way to go and we’re going to continue that approach. It’s probably obvious by now that we’re pleased with our outperformance this quarter and this year and for that matter over the last few years, and we intend to continue outperforming consistent with our five-year plan. Within a slow global economy we will get all the sales we can because of our great positions in good industries, our high-growth region presence and focus, and new products. With that sales growth we’ll continue to drive cost and process discipline through our focus on HOS goals. So said more simply, we intend to continue outperforming. So thanks for listening and of course thank you to all our owners. I promise we won’t disappoint you, thanks.